Operator: Good morning, my name is Carrie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Weyerhaeuser Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Kathryn McAuley, Vice President of Investor Relations. Thank you, Ms. McAuley, you may begin your conference.
Kathryn F. McAuley: Good morning. Thank you for joining us on Weyerhaeuser's Fourth Quarter 2011 Earnings Conference Call. This call is being webcast at www.weyerhaeuser.com. The earnings release, analyst package and web slides of this call can be found at our website or by contacting April Meier at (253) 924-2937. Please review the warning statement in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. Joining me this morning is Dan Fulton, President and Chief Executive Officer; and Patty Bedient, Executive Vice President and Chief Financial Officer. Please turn to the earnings information package available on our website. As summarized on Chart 1 on the package, this morning, Weyerhaeuser reported fourth quarter 2011 net earnings of $65 million or $0.12 per diluted share. Our net sales from continuing operations of $1.6 billion. Earnings for the fourth quarter included net after-tax charges of $12 million for restructuring and asset impairments. Excluding these items, the company reported net earnings of $77 million or $0.14 per diluted share. For the full year 2011, the company reported net earnings of $331 million or $0.61 per diluted share and net sales from continuing operations of $6.2 billion. A GAAP reconciliation on special items can be found on Charts 2 and 3. In the following discussion of the business segments, I will refer to Charts 4 through 10. Turning to Chart 4. This illustrates the change in contribution by business segment from third quarter 2011 to fourth quarter 2011. My comments reviewing the fourth quarter refer to changes from the third quarter unless otherwise noted. We begin our business segment discussion of the fourth quarter with Timberlands, Charts 5 and 6. Timberlands contributed $70 million to pretax earnings, $8 million more than Q3. Earnings from the disposition of nonstrategic timberlands increased $17 million to $21 million. Fee harvest volumes rose 2% in the West and 5% in the South. Log prices declined 4% in the West, due to weaker Chinese demand. Log prices were slightly higher in the South. Road and silviculture costs were seasonally lower, fuel costs were higher. Wood Products, Charts 7 and 8. In the seasonally weak fourth quarter, Wood Products lost $61 million, $18 million more than in Q3 but less than in the fourth quarter of 2010. Sales volume seasonally declined. Lumber, 8%; oriented strand board, 6%; and engineered Wood Products, 12%. As illustrated on Chart 8, price realizations for most products were lower. Lumber and oriented strand board prices decreased 2%; engineered solid section prices declined 4%, and engineered I-Joist prices were 1% lower. Operating rates were lower in response to weaker market demand. Downtime across all product lines increased from 12 weeks in Q3 to 47 weeks in Q4. Unit manufacturing costs were higher due to market downtime. Cellulose Fibers, Chart 9. The pretax contribution to earnings in fourth quarter was $134 million, $1 million less than in Q3. Average pulp price realizations declined 3% or $25 per air-dried symmetric ton. Pulp sale volumes increased 10%. There were no annual maintenance outages in the quarter. Real Estate, Chart 10. Real Estate contributed $41 million to pretax earnings, $31 million more than in third quarter. Earnings were also higher than in Q4 2010. Single-family home closings seasonally increased 15% from Q3 to 582 homes. Year-over-year closings declined 4%. The average price on homes closed decreased $5,000 from the third quarter. This reduction was due to mix. The single-family gross margin was 25.4%, an increase from 23% in Q3, but lower than the gross margin of 26.1% in the year-ago quarter. Land sales contributed $19 million in earnings. In Corporate & Other. Corporate & Other was $6 million lower in Q4. Gains on foreign exchange were more than offset by increased charges for share-based compensation and other items. I will now turn the call over to Dan Fulton. Dan?
Daniel S. Fulton: Thanks, Kathy, and good morning, everyone. Thanks for joining us today. Despite continued economic challenges, our company took full advantage of every opportunity to improve our overall performance during the last quarter and the entire year, and I'm pleased with our overall results. In my remarks this morning, I'll provide some highlights of our fourth quarter results for each business segment, as well as observations on overall performance for the year. I'll also provide my perspective for the year ahead. Patty will then present our first quarter outlook as well as financial highlights, and then I'll add a few more remarks before turning to your questions. First, before commenting on the fourth quarter, I want to set the context for the full year 2011. As we entered the year, I told you that we were basing our plans for the year on an assumption that we would begin to see some recovery in U.S. housing, we targeted a level of 525,000 single-family housing starts, which would have been an 11% increase from the 2010 level of 471,000. Unfortunately, we never experienced the eagerly awaited spring selling season. And single-family starts ended the year at 429,000, even lower than 2010 and 18% short of our forecast. Offsetting this negative drag from lower-than-anticipated housing activity was the continued positive strength in our Cellulose Fibers markets for most of the year, plus increased opportunities for log exports to China during the first part of the year. The other major surprise during the year was the devastating earthquake and tsunami which hit Japan on March 11. Though we suffered immediate short-term disruption to our export sales of logs, lumber and cellulose fibers, we were able to work through this extreme upset condition with minimal impact. This was mostly due to the extraordinary efforts of our team in Japan, which worked so effectively to meet the needs of our customers. Now let's shift to a discussion of the accomplishments of each business segment in the past year. In Timberlands, the stronger export markets for the year helped to offset continued weakness in U.S. demand. We fully leveraged our long-term export relationships and our logistically advantaged Western Timberlands to use these markets to increase earnings over last year. Harvest levels for the full year increased 19% in both the West and the South. Increases in the West were primarily related to increased export sales, while increases in the South were primarily the result of increased emphasis on third-party sales. Log exports are an integral part of our Timberlands business, providing valuable market diversification. In 2010, exports represented approximately 60% of our third-party sales volume from our Western lands. We spoke throughout the year about the significant impact of increased demand for logs from China. We were able to quickly respond, as this opportunity emerged, using all of our competitive strengths in the log export market, including harvesting, hauling, board access, and sales and marketing relationships. While maintaining historic volumes to our largest long-term customers in Japan, we added additional volume to meet increased China demand, resulting in a slight shift in mix among our Asian markets. In the fourth quarter, export volume decreased from the third quarter as a result of an anticipated slowdown on exports to China. For the full year, however, overall export volume was up, coupled with an increase in realizations. In addition to log sales, we generate income from our lands from a variety of sources, including mineral rights, recreational leases and biomass. Our minerals revenue was lower in the fourth quarter as well as for the full year. Production levels of natural gas dropped in response to lower prices. Reported revenue from lease fees declined as fees collected in prior years were fully amortized. Turning to Wood Products, a business that was challenging enough before the 2011 slowdown in housing. We maintained our focus on using all available levers to improve cash flow and profitability. In the seasonally slow fourth quarter, we experienced soft market conditions with lower prices and reduced volumes. We responded by taking more market downtime. For the full year, taking into consideration adverse market factors, we improved performance in areas that we can control. For the year, we were able to offset the significant negative effect of lower prices and higher log and freight costs with performance improvements in a number of areas across our business. Our ongoing improvement efforts reduced manufacturing and related costs over $100 million, and we reduced SG&A by nearly $60 million. In addition to our focus on reducing costs and selectively increasing price for certain products, we added new customers. We also expanded our sales in select geographic markets, including sales of Canadian lumber to meet growing Chinese demand. In Real Estate, we continue to pursue our strategy as a regional builder and land developer, adapting to individual market conditions and diverse customer needs. For the second consecutive year, was profitable, which is strong performance relative to our competitors. Despite a decline in closings for the year, consistent with the overall market decline, our strong margins held firm helped by mix. In the fourth quarter, traditionally our strongest, as homes sold earlier in the year are delivered to customers, we had profitable quarter that included earnings from both home closings and land sales. Land sales historically represent about 10% of our total Real Estate revenues though timing throughout the year can be a bit uneven. In the fourth quarter, land sales represented a higher percentage of our revenue than normal, but were in line with our historic averages for the full year. During the quarter, we experienced lower traffic year-over-year, but conversion rates of perspective buyers improved. As we approached year end in November and December, we had an encouraging pickup in sales, about a 5% increase over the same period last year. This positive momentum is carried into the new year, as sales for the first 5 weeks of the year are up an average of 16% over last year. Though individual market conditions vary, that 5 weeks does not establish a longer-term trend, maybe we're beginning to see some green shoots in the market for new homes. In Cellulose Fibers, as expected, we experienced slowing conditions during the fourth quarter as market inventories increased and prices came under pressure. Our realizations were down, which was offset with increased volume, resulting in earnings approximately equal to our strong third quarter. For the full year, this marks the second consecutive year of record earnings for Cellulose Fibers, a strong performance given more challenging market conditions. All products contributed to this success as we maintained our focus on operational excellence, product innovation and meeting the needs of our customers. Before turning the call over to Patty, let me provide some context for our outlook for the upcoming year. As we entered 2012, we still face an uncertain environment. December's reported unemployment level improved slightly over one year ago, so we're moving in the right direction, but progress is slow. This morning's report shows some additional slight improvement. Consumer confidence is still very weak and though somewhat improved at year end, it is still languishing near the low levels seen in 2008 and 2009. Uncertainty about the pace of housing recovery is still high. Structural issues in the mortgage market are not resolved, and the direction of prices is not clear. The good news on the housing front for me is that the Fed clearly is now engaged on this issue. This may generate some increased attention to the critical role that housing must play in the overall recovery of our national economy. With this backdrop, we're basing our 2012 plans on 665,000 total housing starts, 455,000 single-family, which is a modest 6% increase over 2011 plus 2,000 -- 210,000 multifamily. We consider this to be a conservative assumption, and there are certainly some who are more optimistic. Given our experience in 2011, we're planning cautiously while being prepared to flex up if we have the opportunity. For Timberlands, we're planning to increase harvest levels approximately in line with our forecasted increase in housing starts. Most of this increase will occur in the South, where we also had an increase in third-party sales. In 2012, we continue to play to our strength in export markets, plus take advantage of opportunities for other revenue, including minerals and biomass. We expect natural gas prices to remain low, but we had some opportunities in the Tuscaloosa Basin Shale oil play where we leased land in 2011 for exploratory activity. With respect to biomass as a renewable fuel, we're position to respond to market demand in the U.S. as well as overseas if public policy supports this renewable fuel resource. In Wood Products in 2012, we'll focus on continued improvement to reduce cost and increase revenues, introducing new products, funding our customer base and improving our relative competitiveness. As market conditions improve, we have the production capacity to respond quickly to meet customer needs. In WRECO, we expect to increase volume at pace with the overall housing recovery, but we believe that public builders such as ourselves have an opportunity to increase share over the next several years given our land base and our access to construction capital. We'll anticipate what today's homebuyers want and respond quickly with appealing new homes in great communities, leveraging our regional value propositions and industry-leading customer satisfaction. As the market begins to pick up, our land position gives us the capacity to increase home production, plus we're poised to sell desirable lots to land short builders as part of our long-term strategy. In Cellulose Fibers, we'll continue to focus on what we consider the basics: Continuously improving manufacturing excellence; carefully targeting capital expenditures to lower costs and increase volume; and developing innovative new products to meet the needs of our strategic, growing global customers. And now I'll turn the call over to Patty to discuss our first quarter outlook, as well as provide financial highlights. Patty?
Patricia Bedient: Thanks, Dan, and good morning, everyone. The outlook for the first quarter by business segment is summarized on Chart 11. I'll begin the outlook discussion with Timberlands. In the West, fee harvest volumes will likely increase in the first quarter compared to the fourth quarter. We are expecting a higher mix of logs to Japan versus China, which should result in a higher sales realization for export logs as our Japanese customers buy our premium-grade logs. Domestic log prices in the West are anticipated to decrease slightly. Dan mentioned earlier that fee harvest volumes in the South are projected to increase for the full year of 2012 compared to 2011. However, fee harvest volume in the first quarter should be similar to the fourth quarter, as typically the first quarter is seasonally our lowest volume quarter. Prices will likely be flat quarter-to-quarter, although we anticipate a slightly positive mix variance. Costs are expected to increase due to higher silvicultural spending in the South, and diesel fuel costs will likely be higher across our geographies. Nonstrategic land sales are expected to be lower compared to the fourth quarter, but the timing of these sales is often difficult to forecast. Excluding the effect of nonstrategic land sales, overall Timberland earnings in the first quarter are expected to be slightly higher than the fourth quarter. In Wood Products, lumber prices are expected to be slightly higher in the first quarter compared to the fourth. Oriented strand board pricing is anticipated to increase over 5%. However, pricing for both product lines is anticipated to be lower than the first quarter of 2011. Volume for both product lines should be -- should increase over 5% compared to the first -- compared to the fourth quarter. Engineered Wood Product prices are anticipated to be relatively flat, while volumes are expected to increase. Log costs in the South and Canada are expected to be higher, offset by lower log costs in the West. Operating rates will likely be higher across all product lines as manufacturing resumed to normal operations after the market and holiday downtime in the fourth quarter. As is typical of the first quarter, we anticipate a seasonal working capital build, and we will continue our sharp focus of matching supply with demand. We expect that our loss in Wood Products will narrow in the first quarter compared to the fourth quarter and be similar to the first quarter of 2011. Lower prices and higher freight costs compared to Q1 2001, are anticipated to offset our improving sales volume and operating rates. In Cellulose Fibers, we expect significantly lower realizations for pulp in the first quarter, driven by the continued economic uncertainty in global markets and high inventories worldwide. Shipment volumes are expected to be slightly lower in the first quarter compared to the fourth. This quarter, we will also have increased maintenance cost and lower production as a result of more scheduled annual maintenance compared to the fourth quarter, when there were no scheduled maintenance outages. We expect cost for chemicals, fuel and energy to be higher due to the planned outages. Also, fuel and energy cost will increase due to the winter season. Overall, we expect to considerably lower earnings in our Cellulose Fibers segment in the first quarter compared to the fourth. In our Real Estate segment, the first quarter is seasonally our weakest quarter of the year for home closings. In addition, we continue to battle the headwinds of continued challenging economic conditions and mortgage qualification hurdles for home buyers. We expect approximately 360 single-family home closings compared to 582 in the fourth. Prices are expected to be lower, with margins in the high teens, down from margins of 25% in the fourth quarter due to a shift in market and product mix. On the encouraging sign, as Dan mentioned, we have seen stronger sales during the month of January compared to last year, but these will not affect first quarter earnings as the closings for these sales would typically occur later in the year. Excluding any earnings from potential land sales, we expect a loss in our Real Estate segment in the first quarter. Now I'll wrap up with some overall financial comments. At the end of the fourth quarter, we had cash of $953 million. Debt declined to under $4.5 billion as we reduced debt by over $30 million during the fourth quarter. Our total debt maturities over the next 5 years are approximately $600 million, with about $188 million of that due in 2012. In addition, we have a $1 billion credit facility that has no borrowings outstanding. So as a result, we continue to have solid liquidity. The underfunded status of our pension and other postretirement plans increased by approximately $540 million compared to this time last year. This was largely due to changes in actuarial assumptions, the largest of which was the lowering of the discount rate. For example, in our U.S. qualified pension plan, which is our largest plan, the discount rate decreased by 90 basis points and is now at 4.5%. Reductions in future benefit payments as a result of planned amendments to our other postretirement benefit plans decreased the overall liability. Based on the funded status of our U.S. qualified pension plan, as of yearend 2011, we estimate that we will have a cash contribution of up to $60 million. This payment is not due until September of 2013. No cash contribution was required for this plan in 2011. Contributions in 2012 for the remaining plans, which include our Canadian registered pension plans, our nonqualified pension plans, as well as other postretirement benefit payments, will be similar to the amounts contributed in 2011 for a total of approximately $140 million. During 2011, we had capital expenditures of approximately $240 million. During 2012, we expect to spend in the range of $260 million to $290 million. Now I'll turn the call back to Dan and I look forward to your questions.
Daniel S. Fulton: Thanks, Patty. As I conclude my remarks this morning, I'd like to end where I started. I'm pleased with our performance in the context of the challenging market conditions that we faced in 2011, but I'm not satisfied. Given the level of uncertainty in our markets, for 2012, we're planning conservatively while maintaining readiness and looking forward to the opportunity to flex up to meet increased demand. All of us in Weyerhaeuser are committed to taking full advantage of every opportunity to improve our overall performance and to safely deliver the sustainable results that you expect and deserve. And now we welcome your questions. Kathy?
Kathryn F. McAuley: Carrie, would you please open the floor for questions?
Operator: [Operator Instructions] And your first question comes from Anthony Pettinari with Citi.
Anthony Pettinari - Citigroup Inc, Research Division: In Wood Products, your initial goal last year was to be cash positive, and obviously, the market became much more challenging later in the year. Can you share with us how you're thinking about the Wood Products business reaching cash flow positive or being operating income positive in 2012?
Daniel S. Fulton: Yes, Anthony. As you note, we ended up in 2011 encountering a more difficult market than 2010. Nevertheless, we made a significant number of improvements, as I noted, throughout the year, both in improving operating costs as well as reducing SG&A, which helped to offset declines in prices and increases in costs such as logs and freight. As we look forward into 2012, we continue the ongoing improvement efforts in every single one of our businesses. As I noted, we're focused on improving revenues where we have the opportunities to obtain higher prices for certain products. We're adding new customers. Our efforts in terms of cost reduction, touch every single one of our operating businesses, lumber oriented strand board, engineered Wood Products, and distribution. And at this point, given our outlook for housing at the level that we are projecting today, we have an expectation that for the full year, we would be EBITDA positive and cash flow neutral. We continue to, as I noted in my remarks, use all levers that we have. I'm encouraged by the improvement and our focus continues to be to improve profitability at today's level of starts and then be able to take advantage of the upside leverage that comes with an improving market.
Anthony Pettinari - Citigroup Inc, Research Division: That's helpful. And then just a question on capital expenditures. I think on the last call, you had guided to about $100 million in the quarter, which would've brought you kind of closer to that $250 million to $270 million range that you had earlier guided to. And I guess you ended up a little bit short of that. And I was just wondering if you could give us any color on any projects or investments that, maybe, you've slowed back or pushed back a little?
Daniel S. Fulton: It's fundamentally timing difference, Anthony. We haven't changed the scope of the products or the projects. As we move into 2012, our CapEx continues to include reforestation expense, road work in the woods in order to open up lands for harvest. And the most significant capital expenditures continue to be in our Cellulose Fibers business, where we focus our improvements on projects that reduce costs, that have added benefit, in many cases, of improving volume and continue to move us forward towards a maintenance schedule in our Cellulose Fibers facilities where we will be stretching out our -- what has been our annual maintenance over the next 2 to 3 years to an 18-month schedule.
Operator: Your next question comes from Chip Dillon with Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners Inc.: First question is on the -- if you could just give us a roadmap to think about pulp or, I'm sorry, for the Cellulose business this year. Especially given the downtime, I know you normally, I believe, have that heaviest in the second and the third is sort of when you let it rip, so to speak. And should we see similar pattern this year? And, I guess, if you look at last year, the profit sequentially in the first were off about 38% without the prices falling, so I would guess you're expecting it to be a deeper drop in the first quarter this year even though we're seeing signs of it turning up later. Could you -- if you could comment on that as well, I'd appreciate it.
Patricia Bedient: Sure, Chip. If you compare the first quarter of this year to the first quarter of 2011, the mills that will be taking their annual outages will be similar. But the length of the outages is going to be somewhat extended, both to allow us for some completion of some capital projects, but also positioning those mills for an 18-month frequency between the plan to shut down. Now the benefit of that increased frequency will actually start to accrue in 2013. But we're setting those mills up to be in a position to do that as we take their annual maintenance shutdowns this year. So we'll have a little bit longer outages and do a little more maintenance work to prepare for that in addition to the capital project. So I would estimate that the actual maintenance spend for the quarter will be about $25 million to $30 million. Then if you factor in the lost productivity and the additional costs for chemicals, energy and fuel, I'd expect that the total dollar impact of the outages would be on the order of $45 million to $50 million. And then as you referenced, the other major difference quarter-over-quarter in the results will be lower pulp realizations, which is also likely to be around $45 million, coupled with the realizations and also a little slightly lower volume. And then we'll have some seasonally higher input costs as well. So I think that will help you dimension the change from the fourth quarter to the first. And in terms of our maintenance schedule for 2012, we had completed all of the maintenance in 2011 by the end of the second quarter. And I think our schedule actually calls for a little bit of maintenance also coming in, in the second half as those mills just change a little bit. But for the first quarter, they are very similar to last year in terms of the operations itself.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. And a quick follow-up, Patty, you gave a great rundown on the pension funding situation. Could you let us know how the expense change will be at least from a GAAP book basis from '11 to '12?
Patricia Bedient: Sure. You know, Chip, I think just to reiterate, maybe if you could look at the cash flow statements that we have in the analyst package. So on Page 3, we break out in the cash flow from operations on 2 separate line items the impact of cash contributions, as well as the non-cash charge that goes through the income statement for pension and other postretirement benefits. So let me just start with the cash impact to reiterate that. So I'm looking at the line item, which is 2 lines up from net cash from operations, and it's titled Pension and Postretirement Contributions. So you see that we had $143 million that we contributed in 2011. We would expect that those contributions for the plans that I mentioned in my remarks would be similar in 2012 or about $140 million. Now that doesn't include the U.S. qualified pension plan, which did not have a contribution due in 2011. Based on the funded status at the end of this year, we would estimate that the cash contribution would be about $60 million, and we would not need to make that contribution until September of 2013. We certainly have the discretion to make it earlier if we want, but it's not due until September of 2013. Now let me address your other question, which is the difference in the book expense on a GAAP basis. So if you go a little further up the page from where we were before, you'll see a line item called Pension and Other Postretirement Benefits under the Non-cash Charges to Income. So in 2011 for the full year, that number was $81 million. The comparable number for 2012 is about $115 million. Offsetting the $115 million though, we will have amortization of the changes that we made in some of our postretirement benefit plans at the end of the year. So we made some amendments to those changes or to those plans, and we'll be amortizing those in 2012, and that will just about offset that $115 million. But, I think it's a little more than $115 million. But they just about offset each other. We will call those out as special items in 2012, but that's the way that the expense will flow through the income statement.
Operator: Your next question comes from Gail Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: Just on pulp realizations for a moment. Patty, that was just very helpful guidance. I'm just wondering what you're expecting to recognize in the first quarter. Do you think that would represent a trough or would you expect kind of further erosion as contracts recognize pricing that's already been published?
Patricia Bedient: Well, as prices came down through the fourth quarter and certainly softened into the first quarter, but we would expect that they are pretty much at a bottom at this point, and wouldn't expect further erosion coming out of the quarter.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And would you be seeing any signs that the markets could recover over the next quarter or 2? Or do you think it could stay at this level for a while?
Patricia Bedient: That's really hard to speculate. We usually just limit the guidance to the first quarter in terms of the outlook. But I think, we have, as I said, starting to see some stabilization in that pulp price.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And then can you give us a little bit of color, that pickup that you're seeing in housing activity so far this year? Is that any different as across the regions than what you operate or is it pretty broad-based?
Daniel S. Fulton: Could you ask it one more time? I've got a little bit of a bad connection with you.
Gail S. Glazerman - UBS Investment Bank, Research Division: Sorry. The improvement you're seeing in your Homebuilding business so far this year, is that -- any differences in what you're seeing in trend across the various regions or is it pretty universal?
Daniel S. Fulton: Well, it does vary by region. And as I noted in my comments, it's a little bit difficult to extrapolate from 5 weeks. However, I've made a point, a number of years in the past, that we normally don't see a pickup in housing until after the Super Bowl. So it's actually encouraging that we've got some increase in activity during January. We're seeing more strength in the Phoenix market, in the Pacific Northwest. Texas continues to be very strong. We've seen a little bit of softening in the Washington D.C. area, which was stronger during 2011. And in Las Vegas, we're still relatively challenged. We're seeing a bit of a pickup in all of Southern California, with the exception of LA County. So it's a bit mixed, but for the first 5 weeks overall, we're encouraged. That mix will translate to differences in margins as we go forward. So last year, we did have increased sales in all of our markets with the exception of Nevada and California. And California especially is our strong margin market, and so that's some of the mix change that Patty's talking about as she provides an outlook for the first quarter. So we're encouraged and we'll track it through the balance of the quarter and look forward to on the next call being able to update you.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And just one last super quick question. Patty, can you give a little guidance on the tax rate in the first quarter and for 2012?
Patricia Bedient: Sure. I think the way to think about the tax rate, Gail, is really it's not only just the rate but, it's also the mix of income between the REIT and the TRS. So as you think about our Timberlands business, most of that income is at the REIT, so no tax would be applied to that. And then for the TRS, the income which also would include not only the TRS businesses but also the interest expense, you would think about a tax rate of around 35%.
Operator: Your next question comes from Mark Wilde of Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: Patty, can you talk -- just following-up on the head tax rate question. Can you give us a little color on tax rate in the fourth quarter?
Patricia Bedient: Sure. As you think about the rate itself, there's a couple of things impacting that fourth quarter. So one, of course, is the mix of income that I just mentioned. We actually also had a special item that we exclude as we talk about our results. So for the full quarter, quarter 4, we actually had a tax benefit of about $10 million. And most of that was a result of the special item of $19 million, tax-affected would be around $7 million or $8 million. So most of that is the result of that additional benefit, that when we talk about our earnings, we exclude as a special item. Then if you think about the mix of income, as I talked about before for the quarter, and this doesn't work exactly perfectly, but if you looked at Chart 1, for example, you'll see that our earnings, pretax earnings before special items was about $160 million. You subtract from that the Timberlands earnings of $70 million and also subtract from it the interest expense of $88 million, and you get just about a push for the quarter. And then also at the fourth quarter, you have a little bit of true up not much running through the quarter. So basically, we ended up with a small benefit of about $3 million from continuing operations.
Mark Wilde - Deutsche Bank AG, Research Division: Okay, that's very helpful. Dan, a second question. Just in Wood Products, is there -- are there particular segments in the Wood Products business that you would regard as sort of the biggest challenges for you in getting to cash breakeven? Or is it really just kind of a question of better volume across the whole system?
Daniel S. Fulton: The markets to which our products flow has some impact on this, Mark. So lumber, where we have the broadest set of markets, it certainly flows into new home construction, but it's also runs to the repair and remodel market. And so we are less dependent on single-family new home constructions. Our oriented strand board product is used in new home construction but also some portion of that runs through the repair and remodel market. And then when you go to engineered Wood Products, that has a lot heavier concentration in new home construction. And so our challenges for Engineered Wood Products, which also I would couple that with our distribution business, because there's a good portion of our engineered material that flows through our distribution business is reliant on a recovery in new home construction. And so if you look at our utilization rates across our facilities, they are the lowest in engineered, they are higher in OSB, and then they're the highest in lumber. Lumber also has the benefit of being able to flow to offshore markets, and there's a portion of our Canadian lumber that goes to Japan and recently China. So we will be recovering more quickly in lumber. OSB would follow on, and then I would say our Engineered Wood Products in our distribution. In our Distribution business, we picked up distribution of some third-party specialty products, they bring on some additional margin contribution, and so we're pleased with our progress there. I would say overall, once again, our goal is to get the cash breakeven with the level of starts that we have, but we have a tremendous amount of operating leverage as the market starts to recover. And this business in a recovering housing market will have the benefit of increased cash flow and in ultimately earnings.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. I think it actually would be helpful in May when you're out here if we could give a little more color on sort of what the footprint looks like in distribution now because I know you've made some changes over the last several years. Last question I had just on the housing market, you mentioned California being the strongest margin area for you typically. Can you give us some sense of how much of that is a question of just sort of the types of homes you're building, the size of homes, and how much of that might just be from the maybe a little cost land basis in California?
Daniel S. Fulton: It is both, Mark. So California is a big state, and so we have to look at submarkets within California. Our strongest position historically with respect to earnings and margin is San Diego. San Diego, we're now the largest builder. And so we build a higher-end house that has a lot higher price point, and the margins in those homes are much higher in part because of the product that we're building, the neighborhoods in which we're building, and to some extent, our land basis. The lower margin portion of the market would be the Inland Empire, with LA County being about in the middle. So there's a significant impact on our margins overall. If San Diego was strong, and San Diego was stronger in 2011 -- I'm sorry, 2010 as compared to 2011. Now in the first 5 weeks, we're seeing sales up in San Diego, that's a real positive and we've got a strong land position from which to build in San Diego. The other high-margin market for us historically has been the Virginia and Maryland suburbs, Washington D.C. It's also a higher price point in product, and the margins there are fundamentally related to the homes that we're building in the price point rather than a low-land basis.
Operator: Your next question comes from George Staphos with Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I just want to continue on WRECO. Dan, as you think about, are there any regions where even if you do like your land basis around the country, where you are perhaps maybe less advantaged or have less ability to flex if, in fact, the market recovers more than you expect? And a related question, if I look back at the fourth quarter, your ratio of closings relative to your backlog coming into the quarter is a little bit higher than it normally would be. It's usually 90%, but a little bit higher than that. Does that have any impact on your ability to grow with the market, at least early on in 2012?
Daniel S. Fulton: Let me first address the question of our land position. As we've talked about this in the past, we have a relatively long land position as compared to many other public builders. And in large part, it's related to our value proposition and the markets in which we operate. So we generally would have a longer land position in a market that is more challenging for entitlements processing, and we have a lighter land position in markets where it's relatively easy to process land or to acquire land. So the extremes for us would be San Diego County, where it may take a decade to get property entitled, and one -- the benefit of that is that, that becomes very valuable property. And it's important to have access to land into markets like that in order to be an effective profitable builder. The other extreme would be Houston, Texas. Houston has no zoning. There's a vibrant land development community there, and historically, we're able to acquire many of our lots on a rolling option basis. And so we won't need a long land position in Houston, and then the other markets fall somewhere in between. In terms of our ability to flex, one of our challenges over the last couple of years has been to redeploy some of our land capital to markets where we may be a little bit land light. We made a conscious decision in Phoenix to sell land that we had impaired earlier in the recession because we were confident that we could obtain the land from others as the market recovered and that has been the case so far. If we had a very strong recovery in the Pacific Northwest, we might find ourselves a bit challenged to flex as much as some other markets. But we're comfortable with our land position as we look out the next 3 to 5 years in our markets, and we do have the ability to flex up in response to increased demand. But it varies by market.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. I guess the next question I had. Switching to wood, realizing that hopefully this year, operating leverage will be one of the factors that contributes to your ability to get to cash breakeven. What additional cost benefits do you have, if you will, incrementally already banked for 2012 versus 2011? Or have you realized more or less what cost benefits you had been working on in '10 and '11 within the segment? And what capacity, if we're surprised again to the upside, what capacity -- what in percentage terms could you restart, say within a couple of quarters, within lumber, within OSB to meet the market?
Daniel S. Fulton: We've been engaged in a broad process for over a year to improve performance in this business. As I've discussed it, it includes revenue improvement as well as cost reduction. Some of the cost reduction would come from reduced operating cost and input costs, some would come from increased productivity. We captured some of those improvements in 2011. We have more to come in 2012. And so I can't give you a number as to what we would have "in the bank" for 2012. But we're making good progress and we should expect to see more improvement in 2012. As I look at our operating rates, we operated -- in the fourth quarter, our lumber system at about 75%. OSB was running at 72%, and our Engineered Wood Products were around 30%. So we have much more room to flex it up in our engineered business as the housing market recovers. But we've got plenty of capacity in lumber, in OSB, and we're looking forward to the opportunity to test the margins when we're fully utilizing all of our facilities.
Operator: The next question comes from Steve Chercover with D.A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: First of all, could you remind us the percentage of your wood that you sell into your facilities? And conversely, how much outside wood your mills are buying?
Daniel S. Fulton: Is this -- this is a question, Steve, around Wood Products or...
Steven Chercover - D.A. Davidson & Co., Research Division: No. Your Timberlands obviously sell to China and to third parties, and I want to get the sense of how much they're selling to Weyerhaeuser facilities. And then are Weyerhaeuser facilities 30% beholding on your own Timberlands and buying 70% from third parties or I want to get the ratios, please?
Daniel S. Fulton: In each of our businesses, we participate in the outside market, both Timberlands and in our Wood Products facilities as well as Cellulose Fibers. If we think about the Western Timberlands, and these are rough numbers, Steve, about 1/3 of our logs would go to the export market, 1/3 would go to domestic third parties, and about 1/3 would go to our own mills. In the South -- and those numbers will move up and down on a year-over-year basis. In the South, a much higher percentage of our logs historically have flowed to our own facilities. But as I noted in my remarks this morning, we are consciously increasing our sales to third parties from our Southern Timberlands. Last year, that number exceeded 20%. And that's been a good market for us. We're seeing good prices and we are building relationships with third-party customers that we'll be able to continue to serve in 2012.
Steven Chercover - D.A. Davidson & Co., Research Division: Terrific. And the other quick question also focused on the Timberlands is we've seen few small deals recently at very good prices where the buyer approached the vendor. Are you open to hit the bid if good offers materialize or would you rather grow your asset base?
Daniel S. Fulton: We are in the market all the time as a prospective buyer. And at the right time and the right place and the right circumstances, we could be a seller. But generally, we're -- and we have routine dispositions of nonstrategic land, that in some cases, are part of 1031 transactions or HBU land. In general, our strategic intent is to grow our Timberlands position. But we are engaged in the market and have exposure to both buyers and sellers...
Steven Chercover - D.A. Davidson & Co., Research Division: Sure. Do you have any 1031s that have to be crystallized in the near future?
Daniel S. Fulton: We always have some in process and -- so I can't talk about specifics. We match up the buy-sell opportunities.
Operator: Your next question comes from Mark Connelly with CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: 2 quick questions. First, Patty, working capital was a very big negative swing in Q4, which took free cash a lot lower than I thought. Can you give us a sense of what seasonal pattern we should be expecting, and if there was anything funny in this quarter? And then a quick question for Dan. You talked about the ability to sell land. Would you consider buying a land short builder at this point? Or do you still want to keep your exposure to home building where it is?
Daniel S. Fulton: Patty, you want to address the first question?
Patricia Bedient: Sure. On the working capital, you had a couple of things in the fourth quarter. So typically, our working capital in Wood Products would come down a little bit. In terms of reduced receivables in the quarter, we did have some inventory build in the fourth quarter to take advantage of some markets that new markets, in terms of customers, that we are building in the Wood Products business. The other swing that you had in working capital was in our Cellulose Fibers business, where we had more volume that we sold into the fourth quarter. And so I believe our receivables went up, those would certainly, swaps with the volume that we said would be a little bit lower and a little bit lower prices as well in the first quarter compared to the fourth.
Daniel S. Fulton: And to your second question, Mark, our focus in the Homebuilding business is to grow organically. We like the markets that we're in. We've got strong regional local brands that you're familiar with. And our focus in growing that business will be to flex up with the operations that we have and improve our selling activity and our production in those operations. As you know, today's volume is about 1/3 of what it was at the peak. So we have a great operations and have the capacity to build more as the market begins to recover. If there is a land-light builder out there that need lots, they better be talking to us because we'd be happy to sell lots, assuming we can do so profitably. So it's part of our ongoing business, and it's important for us to have a balance between our land sales and our Homebuilding operations.
Operator: Your next question comes from Paul Quinn with RBC Capital Markets.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Just a question on the plan for 2012 on the outlook, 665,000 starts. That split between single at 455,000 suggests 68% single-family, 32% multi, which is quite a big change from what we saw back in 2005 and '06, and would suggest that future OSB and lumber consumption would be down 10% from that time point. I guess it's more of a question on the future. Do you see this sort of new sort of mix ratios staying at this level going forward? And what is your information in terms of house size and log in OSB consumption?
Daniel S. Fulton: During the recession, we've seen some reduction in average square footage in single-family homes, Paul, maybe 10%. There has been a swing to multifamily during this timeframe. Multifamily market right now is really record low vacancy rates in many markets. And a lot of that I'd attribute to buyer uncertainty more than a shift long term in choice of multi versus single-family. So it's a little bit too early to tell. And as I talked about the numbers for 2011, single-family dropped, multifamily starts were actually up. We have the ability to sell all of our Wood Products into the multifamily market. Multifamily units generally have a lower square footage, on average, roughly 50% of the single-family. The amount of utilization of products varies. In multifamily units, our data would show that if you look at lumber, lumber utilization and the multifamily unit as compared to single-family maybe about 1/3 of what is single would be. OSB about the same ratio. When you move into Engineered Wood Products, our numbers indicate about 60% on average usage per unit, so our strength in Engineered Wood Products will help in the serving any multifamily needs. And I think it's going to take some time through this recovery to see how the ratios between singles and multis actually settle out. I think what we're seeing now is multis being stronger, a lot of fires on the sidelines. My personal view is that as people start to reenter the single-family market, you'll see vacancies rise and multifamily, and people will take advantage of record low-interest rates and low prices for single-family. And that'll be what disburse the recovery in single-family overall.
Operator: Your next question comes from Joshua Barber with Stifel, Nicolaus.
Joshua A. Barber - Stifel, Nicolaus & Co., Inc., Research Division: Just 2 quick questions. First, you mentioned in your remarks that you had a higher Japan volume in the first quarter, do you think that's a sign of a larger trend with reconstruction starting to happen more in Japan now, or is that just something that's seasonal for Japan?
Daniel S. Fulton: It's not clear yet, Josh. Our volumes to Japan during 2011 were about equal to what they were in 2010. And that is in light of the disruption that we experienced, and the country experienced during the earthquake and tsunami, so we've seen a pickup in demand from our customers. And so as Patty talked about, the outlook for first quarter, that incorporates the increase in demand we're seeing. It appears that, that is primarily growth of our customers and perhaps their share rather than the rebuilding efforts following the earthquake. The areas that were most severely impacted, I think, are going to take some time to recover, because they have very significant infrastructure needs that need to be addressed. Can't add any more color than that.
Joshua A. Barber - Stifel, Nicolaus & Co., Inc., Research Division: One other sort of housekeeping item. Your deferred income taxes on the balance sheet seems to have dropped very sharply this quarter. Was there anything that was due to, or is that just a onetime funny tax fluctuations?
Patricia Bedient: It's really the booking of the additional liability for pensions. So pensions is the biggest reason for why deferred taxes moved around.
Operator: Your last question comes from Mark Weintraub with Buckingham Research.
Mark A. Weintraub - Buckingham Research Group, Inc.: A couple of quick clarifications. I apologize, you may have said this to Chip's question before. But the pension expense on a booked basis, what's it going to be this year versus last year?
Patricia Bedient: So we said that this is pension and other postretirement benefits both, so they both flow into the same footnote. They're about a little over $80 million in 2011. In 2012, we would anticipate that, that'll be around $115 million. But there will be an amortization of a special item that will offset that $115 million for changes in the retirement benefit plans. So what I said to Chip was that we'll call that out as a special item. It's clear, but that's the change year-over-year.
Mark A. Weintraub - Buckingham Research Group, Inc.: Okay. And is that going to primarily show up on a corporate line or at the segments? And maybe an even easier way to answer, corporate in 2011 was roughly $100 million, is that a decent number to use for 2012 or should we be adding the $35 million increase in pension expense?
Patricia Bedient: Well, we charge to the segments themselves sort of normal service cost. And on Page 4 of the analyst package, we actually give you that breakout of what gets allocated to the business segments versus what stays at corporate. I would expect that the amount that gets allocated to the segments next year will increase a little bit as service cost increases, but the bulk of it would stay in the corporate segment.
Mark A. Weintraub - Buckingham Research Group, Inc.: Okay. And so corporate expense overall, would you expect that to go up a little bit 2012 versus 2011?
Patricia Bedient: It'll be a little bit up for that item. The Corporate segment does move around from quarter-to-quarter. In addition to these expenses, the other things that account for swings quarter-to-quarter or what happens to share-based comp, as well as foreign currency exchange fluctuations so it can fluctuate from quarter-to-quarter. But sort of as a rule of thumb, I would think about $15 million to $20 million a quarter.
Mark A. Weintraub - Buckingham Research Group, Inc.: Okay. And then lastly, on the performance on Fibers, I was a little bit surprised with the magnitude of the impact you were expecting from pricing, given that you ship roughly 450,000 tons. The same hand, I was surprised how resilient pricing for you had been in the fourth quarter. And I'm wondering, is that a function of the way your contracts are set up? Are they either quarterly? Do you have a fair bit of annual contracts? How does pricing typically flow through into that business?
Kathryn F. McAuley: Mark, we didn't hear all of the start of your question, I apologize. Could you just rephrase it a little bit, so we can get a better feel for what you're asking?
Patricia Bedient: I think your question was about mix in the fourth quarter or was about pricing in the fourth quarter that was a little stronger than what you have expected?
Mark A. Weintraub - Buckingham Research Group, Inc.: And then also the magnitude. I think you said about a $45 million impact 1Q versus 4Q, which you should about...
Patricia Bedient: Yes. The $45 million is about -- is a combination of both pulp realizations and slightly lower volume quarter-over-quarter. And in the fourth quarter, you had a little bit higher mix of specialty volume that went to the quarter as well. So there's a little bit of mix in the fourth quarter, and then there's a little less volume in the first quarter compared to the fourth.
Mark A. Weintraub - Buckingham Research Group, Inc.: Very good. And so there's not much impact from the way your contracts are set up? Do you have much in a way of annual contracts in particular in the pulp business?
Daniel S. Fulton: Longer than annually, for a longer period of time, and they have some adjustments that are built in. But for our long-term customers, we have mutual commitments to keep them supplied. And that's really one of the great strengths of our business is the great longer-term customers that we have that are growing around the globe, and that provides a lot of strength for us in this business.
Operator: At this time, we have reached the allotted time for our Q&A.
Daniel S. Fulton: I'd like to take one minute and thank everybody on the line. We appreciate all of your comments and your questions. As usual, if you have further questions following today's call, I encourage you to follow-up with Kathy McAuley. I want to thank everybody for joining us this morning, and thanks for your continued interest in Weyerhaeuser Company.
Patricia Bedient: Thank you.
Operator: This concludes today's conference. You may now disconnect.